Operator: Good day, ladies and gentlemen, and welcome to the Q1 2015 Marvell Technology Group, Ltd. Earnings Conference Call. My name is Whitley, and I will be your operator for today. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I'd now like to turn the conference over to your host for today, Mr. Sukhi Nagesh, VP of Finance. Please proceed, sir.
Sukhi Nagesh: Thank you, Whitley, and good afternoon, everyone. Welcome to Marvell Technology Group's first quarter fiscal 2015 earnings call. With me on the call today are Sehat Sutardja, Marvell's Chairman and CEO; and Mike Rashkin, Marvell's CFO. We will all be available during the Q&A portion of the call today. If you have not obtained a copy of our current press release, it can be found at our company Web site under the Investor Relations section at marvell.com. We have also posted a slide deck summarizing our quarterly results in the IR section of our Web site for investors. Additionally, this call is being recorded and will be available for replay from our Web site. Please be reminded that today's discussion will include forward-looking statements that involve risks and uncertainties that could cause our results to differ materially from management's current expectations. The risks and uncertainties include our expectations about our overall business, our R&D investments, product and market strategy, statements about design wins and market acceptance of our products, statements about general trends in the end markets we serve including future growth opportunities, statements about market share, and statements regarding our financial outlook for the second quarter of fiscal 2015. To fully understand the risks and uncertainties that may cause results to differ from our expectations and outlook, please refer to today's earning press release, our latest quarterly report on Form 10-Q and subsequent SEC filings for a detailed description of our business and associated risks. Please be reminded that all of our statements are made as of today, and Marvell undertakes no obligation to revise or update publicly any forward-looking statements. During our call today, we will make reference to certain non-GAAP financial measures, which exclude the effect of stock-based compensation, amortization of acquired intangible assets, acquisition-related costs, restructuring costs and certain one-time benefits and expenses that are driven primarily by discrete events that management does not consider to be directly related to our core operating performance. Pursuant to Regulation G, we have provided reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures in our first quarter earnings press release, which has been furnished to the SEC on Form 8-K, and is available on our Web site in the Investor Relations section. With that, I would now like to turn the call over to Sehat.
Sehat Sutardja: Thanks, Sukhi, and good afternoon, everyone. Today, we reported first quarter revenue of approximately $958 million, an increase of 3% from the prior quarter and above the high end of our guidance range. The upside for the quarter was driven by better than expected demand from our mobile and wireless customers. We delivered the following non-GAAP results for Q1: Gross margin of approximately 49%, operating margin of 14% and earnings per share of $0.27. We also paid approximately $30 million in dividends during the quarter. Now I'd like to provide a brief update on each of our end markets. In storage we continue to execute well. For Q1, revenue from our storage end market was slightly better than initially expected and declined 6% sequentially. Starting with HDD, our business declined in the quarter due to a typical seasonality. However, on a year-over-year basis our HDD revenue grew modestly despite the decline in the overall TAM as we continue to gain share. In the enterprise space, we continue to see share gains at a top North America-based HDD customer. Overall for HDDs, we are accelerating our investments in the next-generation technologies. We believe this will allow us to further increase our share and solidify our leadership position in the market over the next few years. Next in SSDs; we had better than expected results and another record quarter. Our units and revenue increased double-digits sequentially. During the quarter we saw multiple new products announcements by multiple customers from our client and enterprises' SATA and FAS products. In addition, we sampled our fifth generation LDPC technology, which addresses next-generation flash. We believe this technology will be a key enabler for volume adoptions of 15 nanometer 2D NAND and in the future for 3D NAND as well. We expect mass productions of these products starting in 2015. We also sampled new PCIe-based products during the quarter. Our SSD business remains on track to grow strongly in the fiscal 2015. For Q2, we expect our storage and market to be flat due to the typical seasonality and in line with the market. Now turning next to networking, Q1 results were as expected and flat compared to the prior quarter. During the quarter most of our product lines performed in line with our expectations. We saw strong double-digit sequential growth for our accelerated NPU product family driven primarily by LTE build ups particularly in China. We continue to gain momentum in closing design wins and driving new opportunities with our latest family of NPU devices. Our ARM SoC product lines continue to gain momentum as well. The ARMADA family of SoC devices is garnering design wins across a spectrum of platforms from NAS to wireless access points to Ethernet routers. Also in Q1 our Ethernet business benefited due to new devices in the Prestera switching, Alaska PHYs and Link Street SOHO families. In summary, for networking we continue to garner design wins of new technologies across multiple market segments. For Q2 we expect our networking end market to be approximately flat from the prior quarter. Next, moving to wireless -- to mobile and wireless; our revenue in this end market grew strongly and increased 30% sequentially. For our mobile business in Q1 we saw strong growth both on the sequential and year-over-year basis. The sequential increase in mobile was primarily due to LTE ramp in China, where multiple tier one OEM has launched their LTE smartphones based on our solutions. Our shipments during the quarter exceeded expectations. On the top best selling LTE smartphone models in China, nearly half of them are based on our platform solution. We continue to focus on these fast growing LTE market in China and are seeing more OEM partners start new LTE smartphone design on a tablet as well as mobile broadband device projects with Marvell chipsets. We are on track to powering multimode LTE devices from leading OEMs for deployment later this year. We are also expanding into multiple geographies. Following our modem certification at AT&T we achieved another important milestone with having completed LTE certification at Verizon. Next in wireless connectivity, Q1 sequential performance was in line with our expectation. On a year-over-year basis our connectivity business grew over 50%. This growth has been due to strong demand for new game consoles and our high attach rates for connectivity across all our 3G and 4G mobile platforms. Due in large part on the high-level of RBOM integrations and low power features we are seeing increased momentum for both our one by one and our two by two 11ac combo solution in mobile computing and dongles. In addition, our Cortex ARM-based Wi-Fi and ZigBEE devices are seeing adoption in new IoT type devices. We expect more new brands of these devices later this year. We are also witnessing increased tractions from customers for our high performance four by four 11ac products which are the de facto standards for the enterprise and video distribution devices. To summarize, we have very strong quarter for our mobile and wireless business, and we continue to be focused on improving our execution in these markets. For Q2, we expect our mobile and wireless end market to be relatively flat. We expect continued growth in 4G and seasonal growth in connectivity to be offset by a decline in 3G business. Moving next to our video business, our revenue declined seasonally in the quarter on a year-over-year basis. Our video business has grown over 2x. This growth has been driven by devices such as the Google Chromecast which has been launched internationally. Additionally, a number of service providers has selected our award winning ARMADA 1500 family of video SoCs for the IPTV and over-the-top hybrid set-top boxes. In summary, Q1 was a better than expected quarter. Although Q2 is expected to be flat we are well positioned to deliver solid growth for fiscal 2015. We continue to make strong progress in mobile at multiple customers for smartphones and tablets. We are seeing new opportunities for our connectivity solutions across multiple market segments and we continue to do better in the market in both HDD and SSD. Our networking business also remains stable. With that, I'll like now to turn the call over to Mike to go over our first quarter financial results and second quarter outlook.
Michael Rashkin: Thank you, Sehat, and good afternoon, everyone. Moving to our financials, as Sehat mentioned we reported revenues of 958 million for the first quarter, which was a near record for the company, an increase of 3% from the prior quarter. Our better than expected revenue was due to upside in our mobile and wireless business. In storage our overall revenue declined 6% sequentially and represented approximately 44% of total sales. Our HDD business declined seasonally as expected. However, our SSD business performed better than expected and grew double-digit sequentially. In networking our revenue was flat and represented approximately 18% of total sales. Market softness in areas such as controllers and switches was offset by growth in categories such as NPUs, PHYs and SoCs. We also saw a better than expected demand for our PON business this quarter. Our mobile and wireless end market grew strongly in the quarter, increasing approximately 30% sequentially and represented 33% of overall sales. During the quarter we saw a strong growth in China from multiple customers for our 4G LTE products. In addition, our connectivity business also performed better than anticipated with only a slight decline in the quarter. Strong mobile platform sales and demand from game consoles were key drivers in the quarter. Moving next to margins and expenses, our non-GAAP gross margin for the first quarter was approximately 49%, which was slightly below our guidance range. The main reason for this was mix. Non-GAAP operating expenses came in as expected at 330 million. This resulted in a non-GAAP operating margin of 14% for the quarter which was better than our expectations. Net interest and other income was about 2 million, and we incurred a tax benefit of approximately 5 million in the quarter. The tax benefit in the quarter was due primarily to an adjustment to deferred tax assets and liabilities resulting from a tax rate change in a foreign jurisdiction. This resulted in non-GAAP net income for the first quarter of 144 million or $0.27 per diluted share. This was approximately $0.05 higher than the midpoint of our guidance. The shares used to compute diluted non-GAAP EPS during the first quarter were 530 million. Cash flow from operations for the first quarter was 237 million and free cash flow for the first quarter was 211 million or approximately 20% of revenue. Now, summarizing Q1 results on a GAAP basis, we generated GAAP net income of 99 million or $0.19 per diluted share. The difference between our GAAP and non-GAAP results during the first quarter were due mainly to stock based compensation of 30 million, 7 million related to amortization and write off of intangible assets, and 7 million was due to restructuring and legal settlement costs. Now, turning to the balance sheet, cash, cash equivalents and short-term investments as of the end of the first quarter was approximately 2.1 billion, an increase of 9% from the previous quarter. We also paid dividends of 30 million in the quarter or equivalent to $0.06 per share. Net inventory at the end of the fourth quarter was approximately 351 million roughly flat from the prior quarter. Days of inventory declined approximately six days to 64. Now, turning to our outlook for the second quarter of fiscal 2015, we currently project revenues to be in the range of 940 million to 980 million. At the midpoint this would be roughly flat to the prior quarter. We expect all of our end markets to be relatively flat to the prior quarter. With our now mobile and wireless business we expect continued growth in 4G and seasonal growth in game consoles to be offset by a decline in 3G. We currently project non-GAAP gross margin of 50% plus or minus 100 basis points and currently anticipate non-GAAP operating expenses to be in the range of 330 million plus or minus 10 million. We anticipate R&D expenses of approximately 270 million and SG&A expenses of approximately 60 million. At the midpoint of our projected guidance this should translate to a non-GAAP operating margin of approximately 15.5% plus or minus 100 basis points. The combination of interest and other income should net out to approximately one million and we expect tax expense to be approximately one million. We currently expect the diluted share count to be approximately 537 million shares. In total we currently project non-GAAP EPS to be $0.28 per diluted share plus or minus a couple of pennies. On the balance sheet we currently expect to generate approximately 150 million in free cash flow during the quarter. We anticipate our cash balance to be about 2.2 billion excluding any M&A activity, share buyback or other onetime items. We currently expect our GAAP EPS to be lower than our non-GAAP EPS by about $0.07 per share. With that I'd like to turn the call over to the operator to begin the Q&A portion of our call. Operator?
Operator: (Operator Instructions) Our first question comes from the line of Quinn Bolton of Needham. Please proceed.
Quinn Bolton – Needham: Hey, guys. Congratulations on the nice results and outlook, especially on the mobile and wireless side. I was hoping to start there and just obviously it sounds like you are seeing a good initial ramp in China on the LTE side, I am wondering what visibility you have into the channel and if you have any data on sell-through of the devices based on your LTE solutions?
Sukhi Nagesh: Quinn, this is Sukhi. So far the uptake of our devices by customers in China has been very solid. We've noticed that subscriber strength in China mobile for LTE has been maybe less as in sub-par so far, but the expectation from what we hear from a lot of our customers is for that to pick up as we go throughout the rest of this year. So we are watching that closely. And we will see how that plays out.
Quinn Bolton – Needham: Great. And then just a follow-up on the 3G business, it looks like you are expecting a decline in 3G. Is that mostly in the TD-SCDMA side as the LTE ramps or you are also seeing sort of less traction on the Wideband CDMA side as well?
Sukhi Nagesh: I think the market in China is transitioning to LTE, so I think you will probably see a lot more subsidies come to the market starting in the second half of this year. As a result of which I think a lot of our customers are probably going to see a transition over the 4G LTE at a much faster clip. I think you've heard other participants in the ecosystem say the same thing as well. And this will be for both wideband as well as for TD-SCDMA we believe.
Quinn Bolton – Needham: Okay, great. Thank you.
Sukhi Nagesh: Thank you, Quinn.
Operator: Our next question comes from the line of Earl Hege with RBC Capital Markets. Please proceed.
Earl Hege - RBC Capital Markets: Hey, guys. I'm calling in for Doug Freedman. Thanks for taking my question. I guess getting back to the mobile and wireless, what do you view in terms of overall shipments, LTE shipments in that market for this year?
Sehat Sutardja: Yeah, so I think it's a lot of questions in this area, but especially when China Mobile say that this year's volume is going to be 100 million units. We on the other hand do believe that the numbers –- the more realistic number probably starts with somewhere between 50 million units and the 100 million units is the extreme end of our projection. So I think it's appropriate to be a little bit more conservative during the first year of the ramp. So closer to the lower range is more realistic is what I think.
Sukhi Nagesh: And to give some color on that, Earl, I think if you look at the TD-SCDMA market, it's probably about – they have about 230 or 240 subscribers so far and that's been around for about four years now, three to four years. So to expect maybe potentially 100 million units in the first year of TD LTE may be stretching it a little bit. So somewhere, so our view has been – it’d probably be somewhere between 50 to 100 million units this year.
Earl Hege - RBC Capital Markets: Great.
Sukhi Nagesh: Anywhere between there. You split the difference.
Earl Hege - RBC Capital Markets: Okay. And just as a follow-up, I guess given the higher revenue run rate you guys have or are you still maintaining your OpEx guidance for the year roughly flat kind of the 330 level, and I guess if so what are you guys doing to kind of manage that throughout revenue growth period? Thanks.
Sehat Sutardja: Absolutely. We've committed early on that. It's going to be flat. If we look at the amount of the resources that we have across the company, it's clear that we have plenty of resources to take care of the important projects that we need to pick to do to be successful. So nothing changed, we are on track to do -- to deliver that [flagged] [ph] OpEx this year.
Operator: Our next question comes from the line of Harlan Sur with JPMorgan. Please proceed.
Harlan Sur - JPMorgan: Hi, good afternoon, and congratulations on the great quarter and outlook. It's good to see the traction you have in 4G which on the mobile really starting to kind of [inaudible] in Q1 and Q2. I think the big concern by investors is that when your competitor MediaTek enters the market kind of late Q3, early Q4 of this year that your market share will decline substantially. Now, I guess the question is given the design cycle times by your customers, I would think that Marvell has already some visibility on handset design wins that will ramp in Q4 and into the first part of next year. So are you seeing the number of handsets that you are winning during this period of time falling off in a big way as MediaTek comes into the market or are you maintaining a steady stream of wins at least through the first part of next year where you do, where you should have some design win visibility?
Sehat Sutardja: Yeah. As you correctly stated that it takes times to -- for our customers to develop handsets using new silicon and we've been in this -- we've been introducing our silicon for quite a while now. And we don't expect any newcomer to be able to gain much traction this year. Especially we are talking about Q3 or Q4. My expectation is it’s probably closer to sometime next year is when before they can have a reasonable traction in this area. Now, having said that, we are not sitting still, we have our first generation product introductions and we are also developing the higher end devices so we already introduced the high end chips with the 64 bit, even the 64 bit processors whether they needed or not it doesn't matter, this time around we needed to build it, let the market decide whether they need it or not. We are also working on the lower end - the lower cost solutions for markets where they’re looking at advanced solutions but they want to have lower cost. So this time around we are coming out with multiple products to serve the different market segments to ensure that we defend our territory much better than historically when we only had one product. So we should be in a much better position this year and next year as we build even better products we should be in a much better position again.
Sukhi Nagesh: Do you have a follow-up, Harlan?
Harlan Sur - JPMorgan: Yeah, I do. Thanks for that, Sehat. Nice to see Marvell HDD controller show up on the recent Seagate 6 terabyte enterprise drives. The question is how far are you into the share ramp into enterprise? Is that going to continue to be a bit of a tailwind for your HDD business throughout this entire year? And if HDD TAM does start to improve in the second half, in addition to that your SSD Controller business should continue to grow, should we see margins that are more sustainable and kind of the 50% plus range even with the growth in your mobile and wireless business as we think about the second half of the year?
Sehat Sutardja: Regarding the questions on the enterprise hard drive, the enterprise hard drive is really very unique business where the design cycle is extremely long design cycle. Part of it is that the customers are very conservative in selecting the chips, and on top of that even when they are done with the products the end customers, their end customers are even more conservative, they spend like a year to two years sometimes in qualifying new hard drive for the enterprise storage systems. So what we are saying is the ramp up is whether we continue to stay with - our present market share will continue to steadily increase over the next couple of years in the enterprise space. Nobody should expect to jump to a 100% instantaneously. So it is good for us because it is -- another reason why it’s good is also the life cycle of these products also are now lengthening, getting longer and longer due to the maturity of this business where it's getting much, much harder to build the next-generation capacity. And that's the reason why we continue to -- in our call I mentioned about we are trying to accelerate our investment in the hard drive, because we are seeing that our customers are needing even more advanced technology so they can introduce the next generation capacity node earlier. And most of this will have to come now in our algorithm and system solutions. And that means that we as a supplier in the business have to invest to help them. So what's the next question?
Sukhi Nagesh: What's the other part of your question, Harlan?
Harlan Sur - JPMorgan: Yeah. The second part of my question is given the tailwind that you have on enterprise and if HDD TAM does start to improve in the second half, which it does seem like it is, in addition to your SSD Controller business continuing to grow, combined that with growth in mobile and wireless, should we see a margin that is more sustainable now kind of in that 50%, 50% plus range, because you've got higher gross margin, storage products growing at the same time that you have here of slightly lower gross margin mobile and wireless products growing.
Sehat Sutardja: Yeah, okay. Our expectation is still trying to get the 50 plus percent gross margin. So I think in the near-term -- now, if we look at the -- further down the road in a much longer term, the high volume consumer products like the handsets becomes bigger - it's a bigger part of our business, the gross margin could go slightly down, but on the other we should look at the business as also the case of [scale] [ph] business where the most important metric in the area is to have reasonable operating margins of at least 20% in that segment. So if we look at the overall pictures these are going to be good for us, because as we improve our execution in those areas our net operating margin can only go up even when the gross margin stays at 50% or even if it goes down slightly below 50%.
Harlan Sur - JPMorgan: Great, thank you.
Operator: Your next question comes from the line of Craig Ellis with Caris. Please proceed.
Craig Ellis – Caris: Yeah, thanks for taking the question and nice job on revenues in the quarter and the outlook. The first question is just a clarification and it's on the sequential change in gross margin in the July quarter. Given that the major segments are all kind of flat, is that really just that the mix within the baseband business that you talked about where 3G will decline as a percent of mix or are there other intra-segment dynamics that are at play and lifting gross margins at 120 basis point quarter-on-quarter?
Michael Rashkin: Well, there is an intra-segment play there as well, Craig. And obviously if you look at even within networking you have products that have varying margin structures and you know margins are different even within our storage business for HDD and SSDs. So across the different business segments we will have -- between those businesses we’ll have some of that impact or positively impact our gross margin for Q2.
Craig Ellis – Caris: Okay. And then the question, and I might as well keep the stream going since everybody is getting in an LTE baseband question, as you look at the LTE baseband business can you give us a split between the China versus outside China mix in the first quarter; I would expect it was mostly China. And how would you expect that mix to change in the back half of your fiscal year? Said differently what other countries will you be shipping material LTE baseband volumes to beyond China?
Michael Rashkin: Yeah. In the first half it's clearly mostly China. In the second half I think we mentioned right at - we did get certified on AT&T, we are certified on Verizon. And I think we've mentioned in the past as well that the first initial devices and geographies outside of China will be for mobile computing devices and we still expect that to be true.
Craig Ellis – Caris: Okay. Thank you and good luck.
Operator: Our next question comes from the line of Chris Caso with Susquehanna Financial Group. Please proceed.
Chris Caso - Susquehanna: Thank you. Given the big quarter that you guys saw on wireless, if you could help us to -- how we should think about seasonality in the mobile and wireless business as we go into the October quarter. And I guess that's a function of 3G versus 4G versus the connectivity ramp. I am sure you don't want to give absolute guidance, but just how we should think about that. Should we be seeing normal seasonal trends in that business in October off of these levels?
Sehat Sutardja: Yeah. It is very hard for us to be able to predict what is the seasonality and something that just we need to be using to the market, but one thing, I’m talking about the LTE in China -- one thing that we can make projection is that if our customer overbuild the LTE, what we have find out is we [able be come up with a supply] [ph] [ph] of over inventory towards the end of the year. That's why when investors are asking us question and when our customer -- when we talk to our customers we always like to temper down the expectation of the ramp of LTE for this year. So we said earlier that even though we heard -- we all hear that 100 million is the possible number for the year we always say that more likely the number is going to be closer to the 50, than closer to the 100 million units. We do not want -- I do not want our customer to overbuild and towards the second half of the year say, oh sorry, there is the seasonality. Seasonality usually only happens in a market where things are more mature. LTE, the deployments in China is not a mature technology. It's just in the early stage - we just want our customers not to make that mistake to overbuild.
Chris Caso - Susquehanna: Okay.
Sukhi Nagesh: Does that answer your question? For us, October -- Chris, you know seasonally at least our Q2 and Q3 look worse for us. And obviously this time around we are going to a flat quarter for Q2, but typically both Q2 and Q3 are good quarters for us.
Chris Caso - Susquehanna: Okay. As a follow-up could you address return of capital and I know the repurchases have paused here for a while. Now that there is at least some visibility on the CMU trial is that an avenue to allow some repurchases to continue.
Michael Rashkin: Yeah. We haven't changed our policy with regard to purchases, but over the course of the last few years we have returned a lot of money to shareholders greater than our competitors. And we tend to look at the repurchases as an opportunistic activity, and taking into account various activities we have planned we will be making a decision over the next quarter.
Sehat Sutardja: So Chris we have not changed our views on capital allocation. We will be opportunistic in our buyback.
Chris Caso - Susquehanna: Okay, thank you.
Operator: Your next question comes from the line of Blayne Curtis with Barclays. Please proceed.
Unidentified Analyst: Thanks very much for taking the question. This is Chris on for Blayne. Congrats on a good quarter guys. I guess first of all on the CMU front since you brought it up, any update you can provide there on that you guys are aggressively pursuing an appeal, but just anything on timing, on kind of status general update would be helpful.
Michael Rashkin: Yes. Well, as you know the judge has filed the order for the judgment and that has allowed us to file an appeal. We have bonded the amount of the judgment. And the appeal we expect is going to take somewhere between 12 and 18 months. And so that's basically the status at this point.
Unidentified Analyst: Very helpful. Thanks so much. Then I guess turning back to the popular topic of LTE, things seem to be going very well now the builds are obviously strong and there is not a lot of competition. The 3G market though pricing sort of matured rather rapidly as competition intensified. Are you still -- I think last time, last quarter you said you expected LTE to hold up a little better than 3G did. Just any update in your expectations there and why you think pricing and profitability may remain better in the LTE market than it did in the 3G market?
Sehat Sutardja: LTE is a relatively new market. So when everybody built LTE devices, including us and our competition, they're all trying to build LTE devices that have better - good performance, not like throw-away phones or types of [performance] [ph]. So in terms of the pricing expectations it's always -- as a result will always be on the higher side. The reason you are seeing that in the 3G side pricing is very, very competitive is because many of the 3G products that people are building are targeting for throw-away types of phones, those are the ones that are pushing, and thus the pressure on the 3G margin. We don't expect that to happen in LTE for at least several years, maybe [meaningless] [ph] only after the LTE become matured then when these throw-away phones will be build using LTE to address the third world, – because many parts of the world where -- even the 3G side, they are just barely switching to the 3G. So on our side our focus is to build, in LTE to build devices. They will address the main three markets and leave it toward the higher end and leave it toward the lower end, so the middle 60%, 50%-60% of the market opportunity is for the people there who want to buy smartphones. So don't forget the area there, people still care about performance and quality.
Unidentified Analyst: Thanks very much. It's helpful.
Operator: Our next question comes from the line of Ambrish Srivastava of BMO. Please proceed.
Gabriel Ho – BMO: Hi, this is Gabriel Ho calling in for Ambrish. Thanks for taking the question, and congratulations on your great quarter. Just want to switch gear to the networking business. I think the first quarter came in flat and you are guiding flat. Can you give us an update on what's your view on the second half? Are you still confident that you can grow your networking business?
Sukhi Nagesh: Gabriel, the networking business I think is generally a pretty lumpy business for most people as you know. We are seeing strengths in certain pockets and I think we mentioned that on the prepared remarks there. We are seeing strength in the NPU side for example coming out of the LTE growth in China. But at the same time we haven't really seen a meaningful pickup in enterprise spending yet. There are certain pockets within enterprise spending we are seeing some pickup while there are others those are not. So it's a mixed bag there. But I think for us, I think we mentioned we -- our networking business is more geared towards enterprise today. It is 70%-80% of the business that we have that's more geared towards enterprise. And so it will likely follow the trend of how the enterprise networking market goes for the rest of this year.
Sehat Sutardja: I think we have to add a little bit. Some of the things that probably we are started seeing is that some of the lower end of the enterprise markets are probably seeing softness because we've alternatives to these wired networking specifically what I talk about this, you see the wireless networking. The lower companies there, especially the smaller companies that startup -- they just deploy wireless networking for their workforce instead of using that some of its low end wired networking. So even though the growth of -- in our business the split of the enterprise is even though some of its wireless that will be -- goes to the enterprise. But we call it -- it's in the wireless networking business.
Sukhi Nagesh: Do you have a follow-up, Gabe?
Gabriel Ho – BMO: Yes. Just a quick one, switching to the SSD Controller market, I think one of the customer has said they are planning to introduce a 3-bits per cell SSD later this year. Do you also see this as an opportunity to gain maybe more share for the share on this controller market?
Sukhi Nagesh: You just said –- you are saying 3-bit.
Gabriel Ho – BMO: Yes, the 3-bits per cell of the TLC.
Sehat Sutardja: Yes. So talking about it's just for flash solid state seasonal, a lot of companies are trying to push down trying to squeeze the density of the 2D flash and the latest is the 15 nanometer nodes. And at this node people are starting to realize, coming to a realization that in order to achieve the reliability that is expected in this market for the enterprise types of cluster of storage solutions. The LDPC technology is very, very important. That's why we introduced our latest generations of LDPC specifically to address, to improve the reliability of these devices that increasingly become so small that this only being few charge so that they could be stored in the floating cell. So and if you talk about 3-bits per cell it's even worse, because basically for the same number of charge that is stored in a cell, you have to be able to distinguish eight levels of information. So we thought this powerful LDPC it will be impossible to real SSD for the enterprise class of market. We are actually in a good position in this area, because we are the only one that have this technology.
Sukhi Nagesh: So Gabriel, I think in the prepared remarks as well we mentioned right, we are shipping or sampling our fifth generation LDPC technology right now and that will be applicable to both current generation 15 nanometer 2D NAND, and -- that includes both MLC and TLC . And that will also be addressed for the 3D NAND I suspect a lot of our customers will start to introduce in next year.
Gabriel Ho – BMO: Thank you. That's helpful.
Operator: Your next question comes from the line of John Pitzer with Credit Suisse. Please proceed.
John Pitzer - Credit Suisse: Yes. Good afternoon guys. Thanks for letting me ask the question. I guess my first question, I understand -- I think some of the positive dynamics going on at the gross margin level for the July quarter. I guess I am just trying to figure out a little bit why not more leverage in the April quarter. And I get it the mobile wireless was up a lot sequentially, but if you look at the overall mix in your April quarter, wasn't all that different than it was last October except you had better LTE growth in this April quarter, so why not a better margin profile in April? What else is going on and what am I missing?
Sukhi Nagesh: Well, I think we did have a big -- if you look at even in Q1, if you look at our business in Q1, our mix was more skewed towards 3G even though LTE business did really well. I mean so overall I think it was -- we had a significantly higher mix towards 3G and obviously that, because of that mix the overall margin for us actually came in slightly below our guidance for the quarter.
John Pitzer - Credit Suisse: That's helpful. Thanks, Sukhi. And then guys, you talked a little bit earlier in either answer to a question or your prepared comments the importance of scale in the baseband business. And even if gross margins are flat to down, op margins can still expand. I'm wondering if you can help me out a little bit, some of your peers have actually broken out profitability by division and we can see how much money they're investing in LTE, i.e. losing. How close are you guys to breakeven? What kind of market share should we think about in the LTE business that provides scale that allows you to breakeven or make a reasonable profit in that business longer term?
Sukhi Nagesh: Yes. So we are not providing any breakouts. It is not appropriate for us to give the breakout at this point due to competitive reason. And in terms of the scale that will give us the ability to be very profitable on a net operating basis I'd say somewhere within about 15% to 20% of market share in this space. And I do believe that as we continue to invest some of the technologies that we've been building advanced microprocessor, for example, will allow us in the future to build truly differentiating products that we are able to show the benefits of our solution to get to our competition. And I expect when we introduced those new technologies we should be able to increase our market share accordingly. And as a result we should be able to be very profitable in that business down the road.
John Pitzer - Credit Suisse: Thanks, guys. I appreciate it.
Operator: Our next question comes from the line of Hans Mosesmann with Raymond James. Please proceed.
Hans Mosesmann - Raymond James: Thank you, and congratulations on the quarter. Can you give us, if you can; the attach rate of your connectivity solutions to your LTE modem?
Sukhi Nagesh: Yes, 100%. It's 100%, yes.
Hans Mosesmann - Raymond James: Okay, and that's consistent. Do you expect that to be the case throughout the year?
Sukhi Nagesh: At this point every -- it's not just us; every LTE suppliers in this business will have 100% attachment rates with their own products. There is no business where we could -- that you could expect us to support other suppliers, not because we don't want to support them, because they don't want us to support them and vice versa.
Sukhi Nagesh: I think we are engaged with so many marketable customers right now, Hans, on the LTE side, and there is not a single customer who is looking for discrete connectivity solution.
Sukhi Nagesh: They want basically one guy to choke, okay? If anything wrong with the handset they just want one supplier to choke, okay? So it doesn't matter whether it's LTE problem, the power management problem, the receiver problem, the audio problem, the video problems, the graphics problem, doesn't matter, they want only just one person to choke. So as a result you should expect that in this business, it is a business where we have to provide complete solution to the customer. It's not 90% of the solution. It's 100% of the solution.
Hans Mosesmann - Raymond James: Okay, very helpful. Thank you.
Operator: Our next question comes from the line of Srini Pajjuri with CLSA Research. Please proceed.
Srini Pajjuri - CLSA: Thank you for taking my question. Sukhi, I think a follow-up to the previous question, you said one of the reasons why the gross margins were a little weaker was 3G was stronger, and obviously you are guiding 3G to decline next quarter, and that seems to be helping the gross margins. Just wondering how big is 3G if you are going to compare that to 4G? And then, do you expect 3G to continue to decline over the next few quarters, and should we expect further improvement in your gross margin?
Sukhi Nagesh: That's a good question, Srini. We don't typically breakout 3G versus 4G, but like I said, 3G was a bigger part in Q1. It's hard for us to say exactly how that's going to end up by the end of this year and the second half of this year, mainly because we are sometimes still engaged with certain key customers for some of their 3G product line. And this is strategically -- strategic engagements in some of these cases, and we will take -- we will engage strategically with some of these customers because we know there is follow-on business to be had later this year or next year for some of the LTE business. So it's a little harder for us to quantify that at this point.
Sehat Sutardja: Yes, I'll follow-up on that, if it's up to us, okay, I'll like to accelerate our ultra low cost LTE business so that -- down the road like a year from now, okay, we want to see no 3G business, but having said that we may no choice, but we have to build some of the 3Gs because of the customer requirements, but again that's -- if I have a choice, I will like to have everything move to LTE.
Sukhi Nagesh: Yes. So, just to follow-up and just to clarify on that, Srini, it's a little hard for us to really give you a good description of whether 3G is going to really continue to decline in the back half of this year.
Srini Pajjuri - CLSA: Okay, fair enough. Fair enough. And then just a clarification; did you have any 10% customers? Thank you.
Sukhi Nagesh: I believe it did. It was probably in the storage space.
Srini Pajjuri - CLSA: Okay, great. Thank you.
Operator: Your next question comes from the line of Sanjay Chaurasia with Nomura. Please proceed.
Sanjay Chaurasia - Nomura: Hey, guys. Question on SSD, you guys have been mentioning that your SSD business is increasing in double-digit for several quarters now. Can you talk about how -- is it a percentage of the storage business? And then, within SSD, what is your split between OEM and merchant solution? And then I have a quick follow-up.
Sukhi Nagesh: Yes. So Sanjay, we don't breakout our SSD business with our HDD business. We refrain from doing that. The majority of our SSD business today is client, targeted to client. So when you refer to OEM we are not sure what that really means. If you look at our solutions on SSD side for both the SATA and the PCI Express side, most of our customers are using for client devices.
Sehat Sutardja: I guess maybe to help you; maybe we need to reiterate what we've seen for the last maybe several quarters, over the last several years. When we build our SSD controllers, we are building our SSD controllers to address the people take care about quality and performance. So the kind of clients that we -- the customers that we have are the people that have invested billions of dollars to build factories, to build a flash capacity. So the customer did the OEMs that they are buying, maybe the OEMs that are buying our products are the people that have their own factories to build the flash chips. Of course other customers -- there is a few, less than handful customers that will be able to buy excess capacity of those flash from these companies, and we support them as well, but those are the minority. The majority will be the people that have their own fabs.
Sanjay Chaurasia - Nomura: Okay, that's helpful. And as a follow-up, are you guys expecting any changes in the SSD controller landscape, because there are some chatter that one of your competitors maybe looking to exit the SSD controller space?. Could you talk about that and any changes in the landscape that you are seeing here?
Sehat Sutardja: Yes, I think it's pretty well known -- okay, that particular story that you had mentioned-- the chatter, it's very well known. It's not in dispute because the data what they are the ones saying it themselves, so okay, it's not even a rumor. So we don't consider that as to be a positive either here or there. We've been working in this area for six years now. So, we have all the different classes of SSD solutions from the high-end to the mainstreams to the low cost segments. So our focus is just to mind our own business, to build products that we will be able to step over the different markets and make our customers to be successful. I think probably what they are saying -- they don't have a scale that we have. And if they have decided to get out of this business it's not going to change our market share one way or the other. We already captured today the value of majority of the market anyway.
Sukhi Nagesh: We own 50% of the market right now, as you know and that continues to do well. Our focus on the SSD front is really to come up with really strong solutions that we can continue the momentum for the next few years and beyond, right? And then move into other areas within SSD as well.
Sanjay Chaurasia - Nomura: Great, thank you so much.
Operator: Our next question comes from the line of Mike Burton with Brean Capital. Please proceed.
Mike Burton - Brean Capital: Hey, thanks for taking my question and congratulations on the good results and guidance. Can you help us understand what percent of your shipments and design wins are for five-mode devices versus three-mode and what is the view of five-mode versus the three-mode opportunity out of that 50 million to 100 million that you mentioned? And where do you think Marvell will be more heavily weighted?
Sehat Sutardja: Actually it is the same device. For customers that are dealing five-modes and three-modes, the only difference is just the number of the RF power amplifiers and duplexers in the system. So there is no change whatsoever in the delivery from our side. So some customers on the higher ends are mainly dealing with five-modes, and for the lower cost obviously they're dealing the three-modes only. So the mix -- we don't really control the mix. It's up to the …
Sukhi Nagesh: To the customers.
Sehat Sutardja: To the customers, yes.
Mike Burton - Brean Capital: Right, but you're already seeing -- you already designed into -- shipping into five-mode devices already in the market?
Sehat Sutardja: Our delivery is all five-modes; it's up to the customer to remove, if they want to remove a few components on the outer side, it's their responsibility, I mean it's their right. Even some customers, with even five-modes, they even want to remove it to make it four-modes because of an area they don't even need TD-CDMA. So they say okay, I don't pay for that some of the extra components that are needed in that space. (Indiscernible) customers would say, hey, I want the four-modes because I don't want to promote TD-CDMA in the network. So it's really up to the customer. So zero difference. Our LTE is we support every mode possible that are shipping off. So they don't have to -- I mean, so we don't argue what's the kind of solution from us. We want only one solution.
Sukhi Nagesh: Do you have a follow-up, Mike?
Mike Burton - Brean Capital: Yes, just another on the mobile; can you help us with the linearity of the quarter since most of the other suppliers into China saw really large pickup in March and April? Is there a May holiday reset for you guys and then we build off of that or is it generally a more front-end loaded quarter?
Michael Rashkin: No, I think for Q1 it was more back-end loaded for sure. And May, I think has been so far similar to our expectations. So we are not seeing a big front-end loaded in May, for sure.
Sukhi Nagesh: All right. We'll take one more -- Whitley, we will take one more -- one last question, please.
Operator: Final question comes from the line of Ian Ing with MKM Partners. Please proceed.
Sukhi Nagesh: Ian, are you there? He may have dropped off. Do you want to just move to the next caller, Whitley?
Operator: Yes, sir. Our next question comes from the line of Joe Moore with Morgan Stanley. Please proceed.
Joe Moore - Morgan Stanley: Yes, thank you. I wonder -- can you talk about the TD LTE market one more time? If you look to 2015 and you think about MediaTek having products and other people having product, can you talk about how your product is positioned? Should we think of you participating in every price spend? Should we think of you as being at premium things, just how do you see you are positioning a year from now when there are more vendors in the markets?
Sehat Sutardja: Yes, a year from now, we will have a lot more products portfolios from all the different price points. So there will be higher end devices. There will be lower end devices. So we believe that if LTE becomes successful in China, a lot of parts of the world will take notice that the performance of LTE is going to be -- and the cost of deploying LTEs will be actually lower than deploying the 3G on the pre-user basis. So when that happens, a lot of parts of the world will demand, want to have lower cost solution to take care of the price points, they normally expected. (Indiscernible) but on the other hand, okay, this also means that it will create a huge opportunity for us to finally be a serious player in the smartphone business as we are now considered to be early in the game. So we are busy right now building all the different parts, different flavors.
Joe Moore - Morgan Stanley: Yes. And within China specifically to the extent that in areas where MediaTek has comparable technology to you, people talk about the number of people to have on the ground kind of supporting the smaller handset vendors. Where are the competitive dynamics in those kinds of general customers?
Sehat Sutardja: Yes, I understand that. But at the same time the vast volumes eventually -- we stated in our last quarter, to build a handset eventually the one that controls the DRAM capacity, the flash capacity, the LCD capacity, those are the one that are going to be more successful in this business. So it is important that for companies -- like for us to focus on what eventually -- who is going to be eventually be the winner in this -- the big players in this business. In our opinion it won't be the 100 small companies that are going to be shipping fake phones. The other part is we don't want to be related to people, customers who are getting fake phones because this can only ruin our reputation in the tier one customers. So we need to pick and choose the battle. And our choice is we want to be the size of the big customers that care about the reputation and the quality and the performance. And then if we have to let go some of these clone or fake telephones, white box let the telephone competitions take over that business. We don't have to worry about it.
Joe Moore - Morgan Stanley: Okay, thank you very much.
Operator: There are no further questions in queue at this time. I will now like to turn the call back over to Mr. Nagesh for final remarks.
Sukhi Nagesh: Thank you, Whitley. We'd like to thank everyone for the time today and the continued interest in Marvell. We look forward to speaking with you in the coming months. Thank you, and goodbye.
Sehat Sutardja: Thank you.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.